Operator: Good day, and welcome to the Progress Software Corporation Q1 Earnings Conference Call. At this time, I would like to turn the conference over to Tom Barth, Vice President of Investor Relations. Please go ahead, sir.
Tom Barth: Thank you, Brian, and good afternoon, everyone. And thank you for joining us for Progress Software's fiscal first quarter 2013 earnings call. With me today is Phil Pead, our President and Chief Executive Officer; and Chris Perkins, our Chief Financial Officer. Before we get started, I'd like to remind you that during this call, we may discuss our outlook for future financial and operating performance, corporate strategies, product plans, cost initiatives or other information that might be considered forward-looking. Please review our Safe Harbor statement regarding this, which is available both on today's press release, as well as in the Investor Relations section on our website at progress.com. Additionally, on this call, we may refer to certain non-GAAP financial measures such as income from continuing operations and diluted earnings per share from continuing operations. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our earnings release issued today. Today, we published our financial press release on our website and provided the information to the SEC in an 8-K filing. These documents contain the full details of our financial results for the fiscal first quarter of 2013, and I recommend you reference these documents for specific details. Today's conference call will be recorded in its entirety and will be available via replay on our website in the Investor Relations section. With that, I'd now like to turn it over to Phil.
Philip M. Pead: Thanks, Tom, and good afternoon, everyone. As I mentioned in our earnings release, our first quarter performance reflects continued momentum as we execute on our strategic plan. Again, just to reiterate, our stated objectives for fiscal year 2013 are to improve our operating margin and build a foundation for future revenue growth. With the divestitures of our non-core assets substantially behind us, although some stranded costs remain, we can turn our attention to improving the efficiencies of our business. Our focus on margin improvement requires us to examine all aspects of our operations. As Progress has moved through various iterations of strategic plans, it has resulted in inefficiencies and unnecessary costs. Last year, we announced our Application Platform-as-a-Service strategy to take advantage of the increasing demand for cloud-based application development. By refocusing our company on our core assets, it provided us with the opportunity to better align our field sales organization, thereby significantly improving our go-to-market efficiencies and decreasing our costs. We're expanding our channel presence by increasing the use of distributors in certain markets, which increases our coverage, and consolidating some of our direct operations where appropriate. We've embarked on improving our partner engagement, which includes expanded programs, marketing support and training. Also, we have begun to review our organizational alignment, which includes span of control, role and functional descriptions, and a better use of benchmarks and metrics to measure performance. All aspects of G&A costs are under review from procurement and IT to facilities and expense policies, as well as process improvement initiatives. As we execute on these cost initiatives, we remain confident that we will exit our fiscal year with an operating margin of 35%. Building a foundation for long-term, stable growth requires us to deliver increased features and functionality on our existing solutions, together with positioning ourselves to attract new customers who see Progress as a strong alternative to other more proprietary and less flexible application platform vendors. For example, during the second half of calendar year 2012, we had more new core product releases and added more data sources than we had done for the last 3 years. As a result, our direct end users and partners are excited by the opportunity of taking advantage of new functionality, which helps to rapidly solve business problems and improves our partners' competitiveness in their respective vertical markets. Progress, through OpenEdge, pioneered the creation of application development and deployment infrastructure tools, technology and software. As such, Progress is ideally positioned to capitalize longer term on the major trends driving IT growth. Industry analyst firm IDC, for example, says that we are in the midst of a "once every 20- to 25-year shift" to a new technology platform for growth and innovation in their predictions 2013 White Paper. They call it the third platform, built on mobile devices and apps, cloud services, Big Data analytics, social technologies and mobile broadband networks. For this third platform, IDC predicts that between 2013 and 2020, spending on these technologies will grow at a CAGR of nearly 12%, and that at least 80% of the industry's growth will eventually be driven by these technologies, with rapidly expanding consumption in emerging markets. For those of you that study the mobility market, we have seen unprecedented change and opportunity. While this market is still predominately focused on business-to-consumer applications, there is a significant shift occurring towards enterprise applications. There are now more mobile devices than people in the U.S., with 1.57 devices per person as of June 2012. More than 2 trillion text messages are sent annually. More than 35% of households only have wireless. And if that isn't enough information, then every minute, there are nearly 100,000 tweets, 168 million e-mails sent, and there are 217 new mobile users. So enterprises are seeking to tap into this growing ubiquity by leveraging mobility to facilitate both increased sales and reduced operating costs. The challenge is that mobile apps do not offer the same functionality to users as enterprise applications, and we at Progress have referred to this disparity as the app gap. In January, we launched OpenEdge Mobile as part of our 11.2 release, which will help enterprises bridge the app gap. OpenEdge Mobile solves the need for full-function enterprise applications available on mobile platforms. Progress OpenEdge Mobile allows independent software vendors and developers to write once, run anywhere, providing a quick and easy-to-get application -- easy way to get applications up and running on all mobile operating systems, including iOS, Android and Microsoft. It also allows developers to continuously and efficiently update applications as the mobile market evolves and new devices are introduced. This represents a huge advantage to developers who are faced with the daunting cost of having to write an application specifically for more than 600 different platform devices rather than one, which will run on any device and on any operating system. OpenEdge Mobile is also a significant release for us because it is the first time that application developers are able to develop an application using HTML5 through JavaScript as a development language rather than ABL, our proprietary language. However, even though they are using HTML5, they can still take advantage of our highly functional and robust OpenEdge back end. Infian, a Virginia-based electronic health records solution provider and a longtime Progress customer, has recently adopted OpenEdge Mobile. Their CIO, Mike Wheat [ph], stated that his team must have evaluated 10 different platforms and found nothing that met their needs for rapid application development like OpenEdge. He went on to say, "Progress changed the game for us with OpenEdge, so we could write once and run on just about any device." We also see continued solid growth in our DataDirect connectivity suite. Progress with its DataDirect connectivity suite is the leading comprehensive provider of software for connecting the world's most critical business applications to data and services so that the information generated by these disparate databases and systems can be analyzed as a whole. Developers worldwide depend on Progress DataDirect products to connect their cutting-edge applications, including those built on Hadoop to an unparalleled range of data sources using the latest and most popular standards-based interfaces. In fact, today, there are more than 300 disparate data sources to which applications require access. This is up from just a few dozen a few years ago. More and more applications require fast access to large disparate data pools, particularly as unstructured and Big Data become more and more critical in analyzing behavior to target commercial transactions. You may have seen our recent press announcement concerning Yamaha Motor Europe. They now utilize Progress DataDirect Connectivity for their website, which connects 1,500 European dealers with distributors in 12 countries. It was imperative that their site provide an optimum user experience because it is how their dealers quickly order spare parts and process customer claims. To quote the Division Manager of Information Systems, "There are only 2 acceptable speeds for the underlying application and database: fast and faster." After implementing DataDirect drivers, their website now functions 20x faster and page load times increased by a factor of 10. We also recently launched our DataDirect cloud offering in beta. This SaaS-based service enables simplified SQL access to a broad spectrum of cloud-based data sources through a single standards-based interface. Progress DataDirect continues to be the only solution in the premium data connectivity market that offers the highest levels of performance, scalability, reliability, security and advanced features. Moving to Progress Decision Analytics. Apama is the leading product to empower operational intelligence, real-time analytics and complex event processing technology to organizations that need to make real-time decisions on Big Data in motion. The Apama platform offers a flexible and powerful solution to develop event-driven applications that include automated trading; customer engagement through real-time, location-based marketing; business activity monitoring; and fraud protection. For example, China Merchants Securities, a leading investment bank, is deploying the Apama platform to bring low-latency algorithmic trading to its Chinese retail customers. In China's rapidly developing securities markets, interest in algorithmic trading is growing strongly. With the Apama platform, China Merchants Securities has responded to interest from its high net worth retail customers in algorithmic trading by providing them with both ready-made and client-specific algorithmic strategies. Apama is also increasing its penetration as the leading software solution for market surveillance. As more and more financial services organizations seek to ensure that their traders remain in compliance and to avoid unforeseen risk exposure, many are making decisions to implement Apama as their risk and regulatory compliance solution. Also within Progress Decision Analytics, our Corticon solution is a market-leading platform for automating and executing business rules changes. Corticon's patented no-coding rules engine is used by over 450 customers to automate their most sophisticated decision processes, reducing development and change cycles by 90%. Automated decision-making with Corticon empowers organizations to improve productivity and customer service and adapt quickly to changing market conditions. As individual states prepare to implement health care exchanges under the Affordable Care Act, they are faced with complying with a myriad of Medicaid rules. Many are turning to Corticon to assist them in managing these complex rules. In summary, we have started the year with solid progress towards achieving our goals for fiscal year 2013. We are improving the efficiency of our company, engaging our clients and partners and beginning a sustainable cycle of innovation as we position Progress to take advantage of the rapidly growing need for cloud and mobile development. I'd now like to turn it over to Chris Perkins, our Chief Financial Officer, for a financial review, and then we can move on to our Q&A session. Chris?
Chris E. Perkins: Thank you, Phil, and good afternoon. I'd like to start by saying that I'm very pleased to become Progress Software's Chief Financial Officer. Progress's tremendous assets, including our collaborative management team, strong recurring revenue, established partner program and enviable balance sheet, represents several reasons why I'm excited to be part of the company. Turning to revenue. Revenue from continuing operations was $89 million in Q1 2003 (sic) [2013] compared to $87 million in Q1 2012, up 3% on a constant currency and up 2% using actual exchange rates. Revenue was driven by solid performance in both North America and EMEA. License revenue in the first quarter was $33 million, up 3% from Q1 2012 in constant currency and up 2% at actual rates. Maintenance and services revenue was $57 million, also up 3% from Q1 last year on both a constant and actual currency basis. Our maintenance renewals remain high and continue to highlight the value of our customer service offering and product upgrades and customer and partner commitment. Breaking out our Q1 revenue by geography: North America was $41 million, up 10% from the same quarter a year ago; EMEA revenues were $36 million, up 1% on constant currency; Latin America revenues were $7 million, down 1% on constant currency; and APJ was $5 million, down 23% on constant currency. After a strong fourth quarter in 2012 for APJ, we expected some challenges this quarter as we built our pipeline and transition leadership in this region. We have recently hired a new sales leader for our APJ region and look forward to a more stable performance in the region later this year. With 54% of our revenue stream outside of North America, we continue to be cautious of our future revenue growth due to macroeconomic uncertainty in some of the regions we operate. Our non-GAAP EPS from continuing operations was $0.23 compared to $0.29 in Q1 2012. The decline is primarily related to unabsorbed stranded costs that remain in our operating expenses from continuing operations after the completion of our divestitures in the second half of 2012 and the first quarter of 2013. While we are currently executing our plans to improve our cost structure in all areas of our business, we anticipate certain of these stranded costs will continue for the next 2 quarters as we work to provide transitional services to the acquirers of the divested business. The non-GAAP operating margin in Q1 for continuing operations, which includes the stranded costs I discussed earlier, was 24%, which reflects total non-GAAP operating expenses of $57 million, up from $51 million a year ago, but down from $59 million in the fourth quarter of 2012. We expect further sequential decline in operating expenses from continuing operations in Q2 2013. Regarding our divestments, we now have completed the divestiture of all 10 product lines mentioned last April for a total purchase price of approximately $130 million. Cash flows from operations were a negative $25 million for the quarter and included the $42 million in tax payments made in the first quarter related to the 2012 and 2013 gains on divestitures. Under GAAP, these tax payments are required to be reflected in cash flows from operating activities, while the gain on divestitures is reflected in cash flows from investing activities. Impacting cash in the quarter was the continuation of the 10b5-1 plan launched in October, which authorized the share repurchase of $250 million. From the beginning of November to February 28, we purchased over 9 million shares of our stock for $195 million. We expect to continue to repurchase shares under this program in Q2. Also impacting cash this quarter were net cash proceeds of $73 million from the remainder of the closed divestments. The company ended the quarter with a strong balance sheet and cash, cash equivalents and short-term investments of $321 million and no debt. Net days sales outstanding from continuing operations for Q1 was 65 days, down from 5 -- down 5 days from last quarter. Also, we ended the quarter with just over 1,100 employees, down from approximately 1,400 at the end of the last quarter, reflecting our transformation of the company, the divestiture of non-core product lines and execution of our restructuring efforts. We expect our cost structure will continue to improve over the next several quarters as we complete our transition services of the divested product lines. Moving to guidance. We are providing guidance for 2003 (sic) [2013] fiscal second quarter. We expect quarterly year-over-year revenue growth to be essentially flat based on constant currency. We expect consolidated non-GAAP operating margin for Q2 to be in the range of 21% to 24%. In summary, we are pleased with our Q1 financial results and business direction. We continue to have solid performance and positive execution on strategic initiatives, including focus on our plans to achieve 35% operating margins exiting the fourth quarter of this year. As we continue into 2013, we will look to expand our operating leverage and position Progress for growth in 2014 while seeking opportunities to deliver increased shareholder value. With that, I'd like to hand it off to Tom for the Q&A.
Tom Barth: Thank you, Chris. And that concludes our formal remarks for today. I'd now like to open up the call to your questions. [Operator Instructions] I will now hand it over to Brian to conduct the Q&A session.
Operator: [Operator Instructions] And we'll now take our first question from Scott Zeller with Needham & Company.
Elizabeth Colley - Needham & Company, LLC, Research Division: This is Elizabeth Colley for Scott Zeller. Regarding revenue guidance for the May Q, can you tell us what the license and maintenance mix will look like?
Chris E. Perkins: We usually don't give that kind of guidance as far as the mix of our revenue guidance for the upcoming quarters. So I don't think we should start that on this call. Sorry.
Elizabeth Colley - Needham & Company, LLC, Research Division: Okay. Can you confirm that for the revenue guidance, it's going to be flat compared to the core business in May 2012? I believe the number was $78 million.
Chris E. Perkins: The revenue for Q2, yes, was $78 million for the core business. And I am -- yes, that is correct. It's related to the core business.
Operator: And we'll take our next question from Greg McDowell with JMP Securities.
Greg McDowell - JMP Securities LLC, Research Division: My first question, regarding the repurchase, once the $250 million is complete, what about the additional $100 million?
Philip M. Pead: Well, we've definitely committed, Greg, to purchase the $350 million. And when the -- when we've completed the $250 million, we will evaluate the appropriate structure to do the balance, depending on when we get to that point. The commitment I think was for $350 million by the end of this year. So we've been actually very successful in the repurchase of stock so far. And so we'll just evaluate what's the right vehicle for us to do the balance.
Greg McDowell - JMP Securities LLC, Research Division: And then one quick follow-up just to ask about sort of your M&A program. You've just completed quite a few divestments, and I wanted to ask if you've thought about potentially doing any other divestments? And on the flip side of that, as you look at maybe some potential acquisitions out there with all the cash on your balance sheet, would you be interested in doing large acquisitions out there? Or sort of what magnitude as you think about an M&A program moving forward, as you sort of fill in the gaps of your existing product lines?
Philip M. Pead: Yes. Sure, Greg. Clearly, we're really focused this year, as I mentioned, on expanding our margin as a company. And as I mentioned in my prepared remarks, I think we're making really good progress in that area. It is a lot of hard work, and the team has done an outstanding job of identifying all the areas that we think we can derive efficiencies from. The second part of the -- of our strategy was to build that foundation for future growth. And I think that for those that have followed the company for a long time and those that are new to Progress, we really need to drive for the future the opportunity of creating a reason for new customers to join the Progress platform. And to the extent that as we build out the capabilities for cloud development, which is a significant focus for our development organization today, to take advantage of the Platform-as-a-Service strategy that we announced last year, there may be an opportunity for us to have tuck-in acquisitions that will enable us to accelerate that strategy. But I can tell you that we are going to be very thoughtful and prudent about that process. This is a company, as you know, that made a lot of acquisitions in the past and was not successful in executing on that strategy for a variety of reasons. We're now back to our core business, which I personally feel is the strength of this company. And to the extent that we can add some technologies that would be useful for us, we'll definitely evaluate that. But as you know, there are a number of ways that we can return value to shareholders, and so we would evaluate all those alternatives as we think about the cash that we have on our balance sheet.
Operator: And we'll take our next question from Mark Schappel with Benchmark.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Phil, could you just speak to the growth rates that you saw in your individual product lines, particularly OpenEdge, DataDirect and the Analytics products?
Philip M. Pead: Sure. I'll have Chris give you some color on those.
Chris E. Perkins: Sure. As far as looking at our products for a year-over-year comparison, OpenEdge, we were able to see 5% revenue growth; Decision Analytics, 15% revenue growth; and DataDirect, from a revenue perspective, was an 18% decline year-over-year in the quarter, really due -- we had good bookings in DataDirect, but it was really due to just a movement from the mix of last quarter to this quarter. So that business is performing well.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay, with respect to the Analytics products and the decline in that business, is there anything in particular you see going on there, whether it be competitive impact or just [indiscernible]...
Chris E. Perkins: Decision Analytics actually was up 15% year-over-year. It was [indiscernible]...
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Oh, I'm sorry. It was up 15%?
Chris E. Perkins: Yes.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: And then, Phil, with respect to the strategic plan that was rolled out last April, I believe that plan called for 5% year-over-year revenue growth in fiscal '13. Do you still believe that -- are you still holding to that level? Do you still believe you can achieve that level?
Philip M. Pead: Well, we -- I think we -- in the last part of the year, I felt that, that was not a number that I wanted to keep out there at this point, that our goal right now is to meet the margin metrics that I mentioned, exiting the year at 35%. So my view is that clearly, we're giving 1 quarter at a time right now. But my view is that Q2 -- our view is that Q2 will be essentially flat. And we're not going to comment on the year at this point.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay. And then one final question. With respect to the Q2 revenue guidance being essentially flat, it's still down Q1 to Q2, which strikes me as odd for a -- for seasonality Q1 to Q2. I was wondering if you have any comments regarding that or any particular reasons why?
Chris E. Perkins: Sure. One of the reasons is our seasonality in our business with our November 30 year end, we typically had strong performance in the first quarter as it includes the month of December, which correlates with a lot of the year-end buying decisions of a lot of our clients and the selling decisions of our application partners. So we've typically had strong first quarter and fourth quarter, and Q2 and Q3 are the laggards.
Operator: And we'll take our next question from Steve Koenig with Wedbush Securities.
Steven R. Koenig - Wedbush Securities Inc., Research Division: The color on the products, that was very helpful. I'm wondering -- I'm curious to know in terms of the OpenEdge performance -- any large deals in there? Or is that being driven by partners seeing success selling into the SMB markets that they sell into?
Philip M. Pead: There was -- from memory here, there was nothing that was substantial, Steve, that would have skewed those numbers. I think it was actually a very balanced performance across our ISVs. It's actually -- I think my only comment to you would be that it demonstrates what happens when you begin to refocus back on the great partnerships that Progress has with an enormous number of very well-established ISVs. And we're starting to see that energy level, that resurgence of excitement with the releases that we've had and the new functionality for OpenEdge. We just completed a user conference in São Paulo, Brazil. We had over 850 our clients sign up for that conference. It was an unprecedented number. So it just shows that with the right engagement in the field, the right coverage with our sales folks, the functionality that we recently released, all that I think can revive the performance in our existing base. We still need to solve the issue of driving new customers to the platform, which we are well under way of working towards. But right now, I'm very pleased with the growth within our existing base.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Okay. That sounds good. If I may, I'd like then to move to your transition costs. We were kind of thinking a lot of those costs would be out by the end of Q2, and so the idea that there's 2 more quarters of stranded costs comes as somewhat of a surprise. Can you give us some color on that? Is this services around R&D, for example, related to products that integrate heavily with OpenEdge like Sonic and Savvion? Or is this around sales operations? Or what exactly -- what are the nature of these stranded costs, and why is it taking longer than maybe we originally thought?
Chris E. Perkins: Sure. Some of those are -- they phase down differently based on the divestitures that took place. We did complete one of the divestitures in the first quarter -- or some of the divestitures in the first quarter, but those costs are primarily associated with some facilities that were -- that the acquirees are still utilizing, administrative functions and administrative costs around the support of those operations until they're able to transfer the administrative functions and the infrastructure that they need into their own operations. So there is a phasing, but it's basically -- it's completely in line with the way that we had expected and planned it.
Philip M. Pead: Yes, there's nothing -- there's no -- there's nothing that's off track here. It's just -- to give a little bit more color on that point.
Steven R. Koenig - Wedbush Securities Inc., Research Division: Okay. Yes, I guess there -- maybe the ramp, the implied ramp in EPS is kind of steeper in the back half than what I had thought. All right. And those costs are -- it sounds like it's primarily G&A. There's not really any R&D in there or even selling?
Chris E. Perkins: No.
Philip M. Pead: No. That's correct.
Operator: [Operator Instructions] And we'll take our next question from Aaron Schwartz with Jefferies.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: I had a follow-up question on the revenue guidance. I can understand the seasonality you just talked to with the December and in your Q1. But if we look back historically, that hasn't always proven to be the case, the seasonality there. So is seasonality sort of different now that you divested a bunch of products? And I'm just trying to understand the linearity of your business going forward, now that you've completed a lot of these divestitures.
Philip M. Pead: Well, let me take a first stab at that, Aaron, and then I'll let Chris do it. We did the same thing as you did. We're trying to look and see comparisons of prior periods, and it does get difficult as you think about this company and the changes that have happened with the divestitures, with the way in which we have positioned our sales organization, the way in which we've gone to market. There are a lot of moving parts here. And so I don't know that we can say that if you compare one quarter to another, that there -- this is historically equivalent because of that. I can tell you that again, as we look into our business and understand it, especially as it was refocused on just our core, that our Q4 and Q1 are our strong quarters. Because as you know, our Q1 also includes the December, the month of December in there, and there are a lot of buying decisions being made in that month. So -- and then again, as we talk to our sales leadership, Q2 and Q3 are essentially kind of equal kinds of quarters in terms of sales opportunity, and then getting back into a strong Q4. So that's how we see the quarters as far as the revenue.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay. And is there any way you can just update us, even maybe at a higher level, but -- now that you have completed the divestitures, your business today? Can you sort of update us on the demographics, if you will? What's indirect, what's direct? What are typical ASPs? Is this meaningfully changed from this company we've looked at here over the last couple of years?
Philip M. Pead: No. I think that the definitions still remain. Obviously, the directs are our direct end users, the companies that use our application platforms to solve business problems specifically for that company, and we have some great companies doing that, using the OpenEdge platform. And then the indirects are the large number of ISVs that Progress has retained for many, many years using that platform. Again, some very large ISVs out there that are known to you that -- particularly in the manufacturing distribution areas, use the Progress platform. So that really -- those definitions haven't really changed.
Aaron Schwartz - Jefferies & Company, Inc., Research Division: Okay. And then the second question on the guidance, if I could. If we sort of back into the margin guidance here, it does imply a significant reduction quarter-over-quarter in OpEx, and it sounds like some of the stranded costs will slowly roll off over the next few quarters. But just trying to understand the decline in cost here, I know this is a very sensitive issue, but how much of this has already sort of been in the works here? How much do you still have to do in the period to shed some of these costs?
Chris E. Perkins: A substantial amount of the work and effort associated with the cost reductions has been done. So again, that increases and gives us the confidence that we like going into the quarter. It will have a meaningful sequential decline from Q1 to Q2 in our operating expenses, and there's still work to do. We've got some things to make smooth transitions out of these transition services, so we're -- fortunately, we're able to be planning every element of our business, from G&A through all of the functional areas on opportunities and timing to make sure that we provide those services effectively and that we exit those costs in a timely manner once they're completed. So we have a degree of confidence, there's still work to do, but there has been a lot that's been done and completed thus far.
Operator: And it appears there are no further questions at this time. Mr. Barth, I'd like to turn the conference back over to you for any additional or closing remarks.
Tom Barth: Thank you all for joining the call today. As a reminder, we plan on releasing the financial results for our fiscal second quarter of 2013 on Wednesday, June 26, after the financial markets close and holding the conference call the same day at 5 p.m. Eastern time. Additionally, the company will be presenting at the following upcoming investor conferences in May: Jefferies in New York City; JMP Securities in San Francisco; B. Riley & Co. in Los Angeles; and The Benchmark Company in Milwaukee. We hope to see you at one of those events or look forward to speaking with you again soon. Thank you, and have a great day.
Operator: And ladies and gentlemen, that concludes today's conference call. We thank you for your participation.